Operator: Thank you for standing by. The is the conference operator. Welcome to the Intrepid Potash, Inc. third quarter 2017 earnings conference call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Matt Preston of investor relations. Please go ahead.
Matt Preston: Thanks, Kyle. Good morning and welcome, everyone. I remind you that parts of our discussion today will include forward-looking statements as defined by the US securities laws. These statements are not guarantees of future performance and are based on a number of assumptions, which we believe are reasonable. These statements are based on the information available to us today and we assume no obligation to update them. You can find more information about risks and uncertainties to our future performance in our periodic reports filed with the SEC. During today's call, we will refer to certain non-GAAP financial and operational measures. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in this morning's press release. Our SEC filings and press releases are available on our website at intrepidpotash.com. Presenting on the call today are Bob Jornayvaz, our Co-Founder, Executive Chairman, President and CEO, and Joseph Montoya, Vice President and Chief Accounting Officer. Jeff Blair, our Vice President of Sales and Marketing, is also available for questions. I'll now turn the call over to Bob.
Robert Jornayvaz, III: Thank you, Matt. And good morning to everyone. I want to thank everyone for taking the time to join us this morning to hear about our great progress. And remember, or in some cases, actually learn a little about who we are. We are Intrepid. Our name means we’re unafraid. We're bold and we are courageous. We're entrepreneurs who are ready for the challenges the world brings. We're strong in character and prepared to face the daily realities of an ever-changing market. We're resolved to creating value and serving our customers, empowering our employees and serving our community and leaning in to whatever situation is thrown at us. Today, Intrepid is successfully pivoting to be more creative, more competitive, and stronger. We continue to diversify and utilize all of our assets and available resources as we begin to grow again at the pace Hugh and I've demonstrated that we are able as we originally built this great company. And now, a look at a few results. Our third quarter continued the successful execution of our strategy, which began last year. Our transition to lower-cost solar-only potash production increased our potash margins. And we grew our Trio sales volumes and we made progress in diversifying our income streams through water and byproducts sales. Our results this quarter continued to demonstrate our ability to pivot during down periods in the cycle and further strengthen our confidence in our long-term strategy. During the third quarter, we prepaid an additional $6 million of principal on our senior notes, bringing our total debt reductions to $90 million over the past 12 months. The third quarter prepayments satisfied our prepayment obligation earlier than the December 31 deadline under our revised note terms. Moving forward, we intend to continue to focus on strengthening our balance sheet that we're under no obligation to make further principal payments this year. As a result of improvements in our earnings and the reductions in outstanding principal on our senior notes over the past year, effective as of November 1, we have lowered our effective interest rates to nearly half of what they were a year ago and now have much more flexibility under our debt covenants. Based on the outstanding balance on our senior notes as of September 30, these low rates represent a projected savings of $2.5 million a year. Third quarter potash results remained strong as fall application season is now underway. Potash remains a great value to our customers. And as a result, we saw some early purchasing of fall application tons in the third quarter. Sales into the higher-priced industrial and feed markets remained similar to the prior-year, but increased as a percentage of our overall sales supporting our potash margins for the quarter. Our third quarter Trio results remained similar to previous quarters with strong year-over-year increases in sales volumes, offset by lower Trio prices due to price decreases over the past year by one competitor and a higher percentage of international sales, which tend to carry lower prices. Trio production decreased compared to the third quarter of last year as we operated at near full rates for the majority of the third quarter in 2016 to prove our production capabilities. Having now demonstrated our capability to be a reliable supplier of Trio, our focus is shifting towards further optimization of our sales channels domestically and abroad. Our strategy to diversify our income stream continues to progress. Our water team doubled our water sales for the second consecutive quarter, with the third quarter of 2017 generating $2.1 million of sales. Demand continues to increase in the fourth quarter, with October sales alone of approximately $1.3 million. We expect fourth quarter water sales to be between $3 million and $4 million and we remain steadfastly on track to achieve our goal of at least $20 million to $30 million in water sales in 2018 and annually for the next several years. Our industrial sales team doubled salt volumes compared to the third quarter of 2016, while the team's marketing efforts for our brine station in New Mexico allowed us to realize significant price increases during the third quarter, while also expanding and continuing to diversify our customer base. Demand for brine continues to grow, with September sales alone generating over $50,000 of revenue, approximately a 60% increase compared to the second largest sales month of 2017. And as of today, October sales are even greater than September sales. This rapidly expanding business provides us daily interaction with end users in the oil and gas industry and it's currently repaying its original capital investment every two months. We also continue to make progress on our prefeasibility assessment of lithium, with three companies testing various recovery methods on the known, but relatively modest, lithium resource in our Wendover ponds. Looking ahead, added flexibility in our debt covenants and the cash savings that will result from the reduced debt balance and lower interest rates have given us even more ability to aggressively pursue other revenue streams. We have identified several opportunities similar to our brine station, which we believe will provide additional cash flow streams to Intrepid in the coming quarters. As I've stated on previous earnings calls, we have a variety of resources at our properties and a continued focus on monetizing those assets. I will now turn the call over to Joseph who will update you on the financial results and the outlook.
Joseph Montoya : Thank you, Bob. And good morning, everyone. As Bob discussed in his remarks, execution of our strategy continues to produce solid results. During the third quarter, we continued to see both year-over-year and sequential improvements in our net income and gross margin. Third quarter net loss of $1.9 million was a $4 million improvement compared to the second quarter of this year and was driven primarily by reduced interest expense, improved results from our potash segment, and increased water sales. Good demand and stable pricing for potash increased our potash segment gross margin to $5 million for the third quarter of this year. That's a $1 million improvement compared to the second quarter 2017 and a $12.3 million improvement compared to the third quarter of last year. Production volumes increased slightly compared to the third quarter of 2016 as an earlier start to production at our solar potash facilities more than offset the absence of our production from our West facility, which, as you know, was idled in mid-July of last year. Overall evaporation at our solar facilities is expected to be near average rates for the 2017/2018 solar production year. Late rains and below average evaporation in Carlsbad during August and September moderated the above-average evaporation we had reported earlier in the year. Moving on to Trio, our Trio segment generated a gross deficit of $1.2 million in the third quarter, an increase compared to the third quarter 2016 gross deficit of $300,000 as a result of lower pricing and increased lower-of-cost-or-market adjustments. Average net realized sales prices decreased 32% from the third quarter of 2016 due to price decreases over the last year and a higher percentage of international sales. We've continued to see year-over-year improvements in sales volume as a result of international marketing efforts and domestic pricing at more competitive levels compared to this time last year. As we stated last quarter, we expect costs to be pressured as we continue to match production to expected demand and manage inventory levels. During the first nine months of 2017, we spent $6.2 million on capital investments. Our estimate for total capital investment in 2017 remains at the $13 million to $17 million range. Also, during the third quarter, we issued 0.5 million shares of common stock under at-the-market offering program, for net proceeds of $1.9 million. As Bob mentioned earlier, improvements in our trailing 12-month EBITDA and reduced the outstanding principal on our senior notes improved our position relative to our debt covenants and will result in significantly lower interest rates on the senior notes going forward from an average of 8.3% down to 4.3% beginning next month. Last year, we set out on a strategy to strengthen our balance sheet and improve results, partially in an effort to direct less cash to interest payments and more to opportunities, such as our brine station and our by-product portfolio. Achieving lower interest rates is a significant milestone in that we plan and we remain excited to pursue the opportunities in front of us. That concludes our prepared remarks. Operator, we're ready to take questions.
Operator: Thank you. [Operator Instructions] The first question comes from Joel Jackson of BMO Capital. Please go ahead.
Joel Jackson: Hi. Good morning, Bob. Congrats on a good quarter and on being courageous. I'm going to ask you a couple of questions. So, on Trio, you seem to have pretty high levels of Trio inventory. You talked about costs being pressured in Trio, but you achieved really good costs, so should we expect costs to increase over the next few quarters? And maybe give a little color on that?
Robert Jornayvaz, III: I think you should see Trio cost continue to decline. We continue to improve the process flow, if you will, without going into a lot of the nitty-gritty details. We just continue to make improvements to the process itself. And so, I think you'll see costs continue to moderate lower. That market is out there, but when you've got someone – one competitor out there, talking that they're going to continually lower price, it did put – it's made buying slow down. But in spite of the difficulties, I think we're seeing our marketplace grow. We're seeing internationally certain groups come in for second and, even some cases, third orders. So, we're definitely gaining traction in the markets that we want to gain traction in. And we're also significantly improving the process flow itself. So, Joseph, is there anything you want to add to that?
Joseph Montoya: Yeah. If I could just chime in there, Joel. Thanks for the question. I appreciate it and think it's a good question. As you know, there are efficiencies or economies of scale with production in our business and any other business. It's a tough question to answer because, as Bob mentioned, we have gone through a lot of exercises to bring down our costs and also a lot of work put in to prove out our production capabilities. And so, it's really a matter of the sales volume coming through. I think, at certain volumes, our costs can continue to come down. And if they were to remain low, at the issues with respect to our international and competitors, they may be challenged, and that's why we put that language in there. I would say our cost footprint, as Bob mentions, and our proven capability in terms of our production capacity, I would say, he's spot on.
Joel Jackson: Okay. So, another similar question on the potash side. So, even looking at your solar-only capacity, you're running at 50,000 tons production a quarter over the last couple of quarters and selling a bit more. But you're running at pretty low operating rates, but achieved very good costs. So, should we expect production rates to go up? And then, would that increase costs because maybe you're really – I don't know if high-grading is the right word to say – but you're really running at low-grade costs. Or would higher production, because of scale, lead to lower costs?
Robert Jornayvaz, III: It's a great question. I think if you're going to higher production, it's going to be in the 5% to 10% range and it would – that's extra production that you pick up. So, it shouldn't – it's not going to have a major impact on the cost structure. We've got other operating – very small operating changes that we're making to some of the flotation plants that increased the recoveries a bit. So, I think you're just going to continue to see sequential small improvements on the cost structure going forward. And I know you're going to see continued creative marketing to improve our margins, our footprints in the markets that we serve.
Joseph Montoya: If I could just add on to that, keep in mind, our Q3 includes part of our annual evaporation outage, if you will. And so, in terms of production, Q3 isn't necessarily our highest production quarter. The other thing that I'd remind you, Joel, if I may, is our cost structure is significantly anymore – pretty significantly impacted by our byproduct sales. And as those continue to increase, as we continue to focus on the brine and other byproducts, the salts, the mag chloride, those have a significant impact on our costs. As you'd know, we record our byproduct sales as a credit to our cost of goods sold. And so, there is definitely an element of that that you need to keep in mind and consider as you look at our cost structure. We believe that's going to continue. So, probably, you should continue to model that into your analysis.
Joel Jackson: I'll just follow-up on that. So, what's the volatility or variability of brine salt to mag chloride from quarter to quarter. Is Q3 is particularly notable on those byproducts versus other quarters?
Joseph Montoya: No, not necessarily. I think it's more a ramp up because of our focus. We started talking about more emphasis on byproducts probably late in 2016 and continued that in first quarter and second quarter. There's a lot more focus on that element of our sales strategy. I don't know if you remember, but I think in first quarter, second quarter, Bob mentioned bringing on a director of industrial sales. We talked about that on one of our calls. So, it's more a matter of focus than it is cyclicality. But, Jeff, I don't know if you want to weigh in.
Jeffrey Blair: Yeah. I will say there is – I think as we go forward and as those segments grow, there will be some more cyclicality. Obviously, mag chloride and salt depending on where you're selling the salt, there's a tremendous number of markets for the salt. But, obviously, getting ready for the winter months and some of that winter use, you'll see some variability on that, how big an impact it has on our stuff. I suppose, obviously, it will depend on the volume of sales. So, I think you'll see a little bit going forward. But I would agree with Joseph that, overall, it's really for us about ramping up into that market.
Joseph Montoya: Yeah. Just once again, you're going to continue to see those volumes increase steadily.
Joel Jackson: Thanks, guys.
Operator: [Operator Instructions]. Our next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Neel Kumar: Hi. This is Neel Kumar calling in for Vincent. On the $20 to $30 million in expected water sales for 2018, how much of that is already locked-in volumes from your existing customer contracts versus maybe additional growth opportunities?
Robert Jornayvaz, III: I would say the large percentage of that is locked in. And then, there's more customers out there that continue to contact us every day. That's the great part about the water business, the brine business, the salt stations that we're creating, is that the daily interactions with the actual oil and gas companies have increased significantly. So, instead of having two or three people in the middle, in a lot of cases, we have direct contact. We're directly working on there from the operators themselves, their schedules. And so, we know and understand without having anyone in the middle what that schedule looks like, what that budget looks like, and we're interacting with their service companies, their surveyors, their contractors on building a schedule, if that makes sense.
Neel Kumar: Yeah, that's helpful. And also, in terms of your CapEx outlook, is the $13 million to $17 million range for 2017 a good run rate going forward? Or do you see additional opportunities to reduce CapEx?
Robert Jornayvaz, III: I think we're not going to see any issues staying in that range or possibly in the lower end. If it does go up, it's simply going to be for opportunity capital that has significant rates of return. And so, we continue to identify opportunities that have just great rates of return. So, we're not going to invest in the opportunity capital unless it really makes a difference.
Neel Kumar: Thanks.
Operator: [Operator Instructions]. Our next question comes from Jason Ursaner of Bumbershoot Holdings. Please go ahead.
Jason Ursaner: Good morning. Thanks again for taking questions from shareholders. And great job on the continued turnaround. Just first on the potash side, both MOP and Trio, can you just talk a little bit more about the seasonality in terms of the usage and production. I know it comes up a lot, but just because you mentioned a handful in the prepared remarks, with pull-forward of demands and late rain and volume on the Trio side versus last year. So, maybe just making I'm understanding all of it in terms accurately characterizing the quarter.
Joseph Montoya: Jason, Joseph here, if I may. Just want to touch briefly on the comment about evaporation. And really, the only reason I put that in there was because in the second quarter, we said – and we had seen going into the spring above-average evaporation rates. And with the weather that we got over the summer and into September in New Mexico, it brought down our expectation a little bit with respect to what we think we could produce. That being said, we don't think we're at risk of not being able to achieve our forecast by any sense of the word. I just was really trying to tone down a bit what I had set out in the last quarter. But it's probably really under our normal range of production. And I'll turn it over to speak to the sales piece.
Jeffrey Blair: Yeah. I think the way that – looking at the sales side of things, you've got a fall and spring season. And that fall season, obviously, quarter-end fall would be end of September, which is sort of right when either it's getting going into it or if it's early versus late. So, some of those sales will sometimes shift forward to Q3 if people want to take sometimes earlier versus later. But you really want to think of the potash sales and, to some degree, certainly the Trio sales as well as a first half, as a fall season and a spring season. I don't know if that's answering enough of your question.
Robert Jornayvaz, III: The other thing, Jason, that I'd really reiterate is our efforts by bringing in an industrial sales team and focus on that is to reduce that seasonality to the degree we can. We're being much more proactive with our oil and gas customers. And given our daily interaction on the water side and the brine side, it just really ramps up the opportunity for communication and opportunities to sell into the industrial markets, as well as feed the feed markets. So, that helps smooth out a lot of that seasonality.
Jason Ursaner: Great. And, specifically, on the MOP side, just following up on the earlier question, because cash operating cost looked like it came down substantially. And I know you've been running solar-only, I guess, for more than a year now. So, is that almost entirely the byproduct's benefit?
Joseph Montoya: I think that's a large part of it. There's also just inherent – and maybe not inherent because, as you point out, we've been running solar-only for a while, but there are the additional reductions in cost that we're enjoying from some of the capital projects that Bob referred to. So, I would suggest it's a combination of those two. The other thing is the remaining product that we had from 2016 production of West, the reds sales. So, those were at a much lower volume, but still impacted in the third quarter and we should be done with that by the end of this year, but that had a slight impact as well. So, it's a combination of a few different things. I think, as I had mentioned to one of the other – or answered one of the other questions, I think we should expect and anticipate those costs to remain at the lower levels based upon the production improvements as well as the byproducts.
Jason Ursaner: Okay. And just for the water sales, you mentioned the large percentage is fairly locked in. Just how are the deals with operators and distributors starting to take form? It kind of sounded like it was still materializing the last few quarters, with some people looking for shorter-term deals or trying to evaluate longer-term deals. How is that kind of taking shape?
Robert Jornayvaz, III: Jason, as we've said repeatedly, our goal is to be the easy button for a vast range of customers. And so, we're dealing with even, what I would call, what we used to call small mom-and-pop operators. But even those guys have made acquisitions in our neighborhood in the billion-dollar range. So, we're dealing with some of the smaller operators all the way up to the largest oil company in the world. So, every one of those arrangements looks very different as well as the deals that we're making with the water distribution companies. So, the good news is that, through diversifying our customer base and increasing the amount of – the number of customers, the actual number of customers and having daily interactions with them ourselves versus through a middleman, we just have a lot more confidence in what those numbers look like and the commitments that we've got. So, we've got everything that ranges from full commitments to people that literally call up and say they want to frac a well in the next week and we try to service them as well.
Jason Ursaner: Okay, great. Appreciate all the details. Thanks.
Operator: The next question comes from Joel Jackson of BMO Capital. Please go ahead.
Joel Jackson: Okay. Hi, guys. Thanks. Getting emails, so we'll ask the questions. So, can you give a little more color on the lithium resource delineation or feasibility work that you're doing, maybe give some possible scenarios, outcomes, timing? Thanks.
Robert Jornayvaz, III: Joel, as we've said before, we have a known lithium resource. It's in the prefeasibility study. It's a resource and not a reserve. And that's why we're testing it. We've got three different companies testing three different recovery or separation technologies in terms of how you would separate it from the magnesium. So, we have known amounts of lithium. But the question is the commerciality and what's the cost, the capital cost to extract it, and then the operating cost. And so, because the value of lithium and the fact that we're a permitted facility that owns and controls the lithium that's in our system, it's something that we're looking at extremely serious and the three companies that came to us to do the testing are ones that volunteer their services. We didn't have to pay anyone to go out there and test. And so, they're all high-quality companies that are very involved in the lithium business. They know it and understand it. And so, as we promised, as we learn more, we'll tell you more, but it continues to progress.
Joel Jackson: So, the outcome of this work would be some work that they share with you about what a, I don't know, flowsheet would look at high-level, I guess sort of like a free scoping study they're providing as opposed to, what I'd call, sort of a more vigorous prefeasibility study?
Robert Jornayvaz, III: Well, as you know, because you've written lithium piece, there's a couple of different ways to separate and recover lithium. And so, depending upon the nature of the lithium resource or reserve, you pick a technology in terms of how you separate it out. And so, the first piece is to pick the type of technology that you want to use and then the second piece is to move to feasibility. And because we already have ponds, we already have a plan, we already have rail load-out, we already have so many pieces in place, in the event we get the kind of results we hope for, we can move pretty quickly.
Joel Jackson: Thanks a lot, Bob.
Robert Jornayvaz, III: But you have to pick the technology first. That's the important part.
Joel Jackson: Right. Thank you.
Operator: The next question comes from Jon Evans of SG Capital. Please go ahead.
Jonathan Evans: Your competitor talked about potentially raising prices in K-Mag in the fall applications to the distributors, et cetera. I'm just curious if – can you talk a little bit about what you saw in that market? Did pricing stick it all? And should you have better realizations then in Q4 or not?
Robert Jornayvaz, III: Well, I can speak from personal use is that the price to the end user has not gone down. So, I'd buy a fair amount of Trio myself as an end user. So, the price has stuck. I think there's a lot of opportunity there for pricing. And so, I'll just – the pricing has a great opportunity to be firm because demand is solid.
Jonathan Evans: Okay. If pricing did firm, which you're not saying it's going to or not, you're just seeing it as an opportunity, when would we start to see that or you would start to realize that in the P&L? Would it be Q4 or would we have to wait to the spring application now?
Robert Jornayvaz, III: It really is a function. Trio was a spring product. And the build program for spring has not yet begun. And so, we believe that there's – we believe there's just strong opportunity because of the demand. And like I said, given the fact that I'm a pretty significant end user on my farms in Florida, I know what the pricing looks like to the end user. And because of the quality of Trio and langbeinite as a fertilizer product, those of us that buy it as end users know the benefits of it and what a great product it is. So, it's just got a tremendous amount of opportunity.
Jonathan Evans: Okay. Got it. And then, the other question I had for you, just relative to the water side, I guess, are you seeing intensity go up or is it staying the same in the frac job? A lot of the people that you're associated with, like Exxon, they talked about taking ten more rigs to that area by the end of 2018. But what I'm curious to understand is the intensity per lateral foot. Are you seeing that go up in the amount of water?
Robert Jornayvaz, III: Absolutely. We're just seeing, as is reflected in our results, every single month a greater demand. But you've got to remember, those folks that made these multibillion-dollar acquisitions had to take them over, bring in their own employees, create their own schedules, revitalize the man camps, get frac crews back out there. In our case, we had water systems that were already built and developed, but we laid flatline to certain people. We're building ponds to service some of the bigger operators. So, there's just a tremendous amount of activity going on each and every day. And when you're out there, you see it increasing each and every day. And because we're dealing directly with the oil and gas companies, everyone from the largest oil company in the world to much smaller ones, talking to their drilling engineers, talking to the completion companies, talking to the frac companies, you just see the intensity and the scheduling as you're just getting a greater inflow of people, products, services coming to the region.
Jonathan Evans: Okay. Hey, thank you for the answers.
Robert Jornayvaz, III: You're welcome.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Bob Jornayvaz for any closing remarks.
Robert Jornayvaz, III: I just want to thank everyone for joining us today. We appreciate your time and your interest. And look forward to speaking with you in the future. Thank you again.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.